Operator: Good afternoon, and welcome to the Netlist Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Michael Smargiassi with The Plunkett Group. Please go ahead.
Michael Smargiassi: Thank you, Gary, and good day, everyone. Welcome to Netlist's Second Quarter 2025 Conference Call. Leading today's call will be Chuck Hong, Chief Executive Officer of Netlist; and Gail Sasaki, Chief Financial Officer. As a reminder, you can access the earnings release and a replay of today's call on the Investors section of the Netlist website at netlist.com. Before we start the call, I would note that today's presentation of Netlist's results and the answers to questions may include forward- looking statements, which are based on current expectations. The actual results could differ materially from those projected in the forward-looking statements because of the number of risks and uncertainties that are expressed in the call, annual and current SEC filings and the cautionary statements contained in today's press release. Netlist assumes no obligation to update forward-looking statements. I will now turn the call over to Chuck.
Chun K. Hong: Thanks, Mike, and hello, everyone. Netlist had a productive second quarter as we continue to execute on our product and IP initiatives. Since the last call, we strengthened our cash position, ramped sales of custom DDR4 products, filed new legal actions against Samsung and Micron, secured a court order finalizing the $445 million damages award against Micron and successfully concluded the breach of contract case against Samsung. Second quarter revenue increased 44% on a sequential quarterly basis, driven by healthy demand for DDR5 and DDR4 products. The DRAM market is going through a transition to next-generation DDR5 modules used in AI servers and data centers. As the move to DDR5 accelerates, manufacturers are starting to phaseout DDR4 with product allocations going primarily to their largest customers. This has led to limited DDR4 supply and significant price increases. Embedded industrial and medical customers whose products have long life cycles, are being impacted by this as DDR4 goes end of life. Netlist is working proactively with customers in this market segment, including those that rely on custom DDR4 modules designed by Netlist. We're providing last-time buy programs that enable customers to support their required life cycles or redesign with newer memory technologies. For overclocked and low-latency DDR5 server modules, we continue to qualify higher performance products with customers so they can provide servers with the fastest memory solutions possible in high-frequency trading simulation, HPC and AI applications. Now moving to intellectual property. During the past 2 years, Netlist has obtained 3 separate jury verdicts, awarding combined total damages of $866 million for the willful infringement of our patents by Samsung and Micron. Over the past several months, we've broadened our legal efforts, filing complaints in the U.S. District Court for the Eastern District of Texas against Samsung and Micron and their distributor, Avnet. The 3 patents that Netlist is asserting in these 4 separate suits are new patents covering next-generation HBM and DDR5 memory technologies. This includes the '087 patent entitled "Memory Package having Stacked Array Dies and Reduced Driver Load, which covers HBM for current and future AI applications. Analysts currently project that U.S. HBM revenues to exceed $25 billion annually for each Samsung and Micron by 2031. The other patents include Netlist's '731, which reads on DDR5 DIMMs with DFE, Decision Feedback Equalizer, and ODT/RTT circuits as well as the '366 patent, which reads on DDR5 DIMM with on module power management. According to analysts, U.S. DDR5 DIMM revenues will exceed $65 billion annually in 2029. The first Eastern District of Texas jury trial in these cases is expected to begin in March 2027. In June, Netlist secured an order finalizing the $445 million damages award against Micron, the court's memorandum opinion and order denying Micron's post-trial motions, combined with the final judgment inert in July 2024, bring this case to a close in the District Court. With these actions, the court has upheld the jury's verdict and damages award and confirmed that Micron willfully infringed Netlist's patented technologies. Micron has filed an appeal with the Federal Circuit. We expect the appellate process to take around 18 months. In the breach of contract case against Samsung, earlier this week, the court issued an order denying Samsung's motion for a new trial, bringing this case to a successful conclusion for Netlist. Netlist has won this case 3 times with each case confirming that Samsung had breached the joint development and license agreement between the parties, and that Samsung does not have a license to Netlist's patent portfolio. As the largest memory manufacturer in the world, Samsung faces significant exposure from its tens of billions of dollars in annual memory shipments into the U.S. After the jury verdict in March, Samsung filed a motion for a new trial, asking the court to presume bias by 3 jurors based on their answers to questions during the jury selection process. This is not a new tactic. After the last trial in May 2024, Samsung had also sought a new trial by claiming jury bias. The court held an evidentiary hearing on July 30 for the jurors to explain their answers, and allow Samsung and Netlist's attorneys to question them. After this evidentiary hearing, the court ruled that the juries were not biased and deny Samsung's motion on August 4 with an order that is now available online. The order finally ends this district court case. The deadline for Samsung to file a notice of appeal is September 4. In the Eastern District of Texas 1 case against Samsung, where Netlist secured an order finalizing $303 million damages award in July 2024, the appeals process continues to advance at the Federal Circuit. The date has not been set for the appellate for the appeal hearing at this time, but we estimate the appeal hearing could take place some time in the first half of 2026. In the Eastern District of Texas 2 case against Samsung where Netlist was awarded $118 million damages in November, we remain in post-trial briefing phase. We expect the court to rule on these post-trial motions in early 2026. Regarding IPRs, interparty reexams, in March, the Federal Circuit issued a judgment affirming the U.S. Patent Trial and Appeals Board's decision upholding the validity finding of Netlist's '523 patent. Samsung did not file an appeal with the Supreme Court. And as a result, they can no longer contest the validity of the '523 patent. For Netlist's '314 and '506 patents, we estimate that oral arguments for the IPR appeals will be heard by end of this year, with the remaining IPR appeals to be heard in 2026. Netlist is also following with great interest the recent changes at the patent office. In March of this year, Acting Director, Coke Morgan Stewart, issued a memorandum that changes how the PTAB will handle inter-parties reviews and post-grant review petitions. The change in the institution process affords the director the ability to exercise discretion to deny an IPR petition. This change provides patent owners with a clear and faster path to address PTAB review and is a welcome update to the process. Finally, in June, we announced the appointment of Jun Cho and Blake Welcher to the company's Board of Directors. Jun and Blake are both seasoned attorneys with expertise in product distribution, intellectual property and licensing. We are pleased to welcome them to the Board. Now I'll turn the call over to Gail for the financial review.
Gail M. Sasaki: Thanks, Chuck. For the quarter ended June 28, 2025, revenue was $41.7 million, an increase of 44% consecutively and by 13% year-over-year, reflecting the increasing demand from both our OEM and resale customers. While we do not formally guide given the booking and shipping for the third quarter of 2025 to date, and subject to the visibility we have today, we currently expect third quarter revenue to be similar to the second quarter of 2025. Operating expense for the second quarter 2025 declined 52% compared to the prior year's quarter, driven by reductions in IP legal fees and R&D. We currently expect reductions in legal costs in 2025 as we enter the final phase of litigation for current actions. We ended the second quarter with cash and cash equivalents and restricted cash of $29 million compared to $25.6 million at the end of the first quarter with minimal debt. In June, we raised $11.7 million net through the registered direct offering, which included a $3 million investment from Chuck, our CEO. With a $10 million working capital line of credit and approximately $74 million available on the equity line of credit, we continue to maintain significant financial flexibility and liquidity. As always, we manage the operational cash cycle very carefully with days sales outstanding improved by 11 days over last year and the overall cash cycle improved by 20 days over last year's Q2. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from Suji Desilva with ROTH Capital.
Suji Desilva: So Chuck, the DDR memory tightness as it's being end of life and the price -- firm pricing that you're seeing, is that a condition that can persist for several quarters through the end of the year for you? Or do you think that, that tailwind abates as we go forward here?
Chun K. Hong: Yes, Suji, the tightness is in DDR4 specifically as the 3 major suppliers have announced end of life by -- so shipments kind of winding down at the end of this year. So we believe, at least through the end of the year and into first half of next year DDR4 will remain constrained -- supply will remain constrained. Therefore, prices will likely remain firm for the next few quarters. DDR5 is balanced supply and demand. So it's a fairly stable situation on DDR4 -- DDR5, sorry.
Suji Desilva: Okay. That's helpful, Chuck. And then some of the -- I'm trying to kind of fish through the existing verdicts you have versus the new patent cases you put in place for DDR5 and HBM related patents. Are the existing verdicts for DDR4? I wanted to clarify that. And then if that's the case, these new patents and the potential findings here, how would you size the -- think about sizing the damages relative to the nearly $1 billion of findings you've already had?
Chun K. Hong: The existing verdicts, the 3 verdicts that combined for $866 million are for both DDR4 and DDR5. And so -- and then the new patents that we've asserted in these 4 separate assertions against Micron and Samsung are for DDR5, DDR5 DIMMs and DDR5 based HBMs. HBMs are all DDR5. Does that answer your questions?
Suji Desilva: Yes, it is. I'm just trying to -- so understanding, including HBM and other opportunities, how would you size these new opportunities relative to what you've already secured as verdicts?
Chun K. Hong: Well, it's -- when we secured the original 3 verdicts, HBM's market was relatively in its early stages. So the volumes were not as big. We have asserted the new HBM patent against Samsung and Micron, and the new DDR5 patents against them, DDR5 DIMM patents. And the volumes for HBM has since exploded since our earlier verdicts due to the growth of AI servers, and that's been well documented. So the volumes are much, much larger, and the dollar exposure is much larger, tens of billions for each of these suppliers annually. DDR5 volumes also have increased multiple fold since the original verdicts over the last couple of years.
Suji Desilva: No, that helps, Chuck, in terms of color. And then lastly, on SOCAMM, S-O-C-A-M-M, just that opportunity versus HBM, it's being seen as an alternative, whether you're similarly positioned with your patents across those 2 competing memory alternatives?
Chun K. Hong: Yes. So Suji, I think it's -- I think you're talking about MRDIMMs. So SOCAMMs are a specific type of memory module that is used by NVIDIA only, using low-power DDR5 DRAMs, low power, meaning the DRAMs that go into mobile phones and tablets. So we have certainly IP position in that product line. But the bigger product that's coming down the pipe are the MRDIMMs. So MRDIMMs are the highest capacity, highest speed. We focus on the high-end niches. And MRDIMM is going to be the maximum capacity, maximum speed of any server memory module. And that has started to ship in small volumes. It may become -- MRDIMMs may become the bulk of the memory server -- memory DIMM market in the server space. So -- and that product utilizes a lot of our IP, including power management, rank multiplication in the MUKs as well as the load reduction, the data buffers, all of those were inventions that we came up with over a decade ago and have patents on. So that's a market that we certainly aim to cover.
Operator: This concludes our question-and-answer session, and the conference has also now concluded. Thank you for attending today's presentation. You may now disconnect.